Operator: Good afternoon, ladies and gentlemen, and welcome to the Rogers Sugar Inc. Analyst Call May 9th Conference Call. [Operator Instructions] This call is being recorded on Tuesday, May 9th - sorry, Thursday, May 9th, 2024. I would now like to turn the conference over to Mike Walton, President and CEO. Please go ahead.
Mike Walton: Thank you, operator. Thank you all for joining us today. I'll start today with the highlights of our Q2 2024 results and then provide some background on the industry and why we think the sugar business in Canada is a good place to be. Then I will discuss how we are positioning Rogers Sugar for success within the industry and introduce a new framework for assessing our progress before turning it over to JS for a deeper review of our financial results. I'll conclude by discussing our outlook for fiscal 2024 adjusted EBITDA. Starting with the quarter, this was a busy Q2 here at Rogers Sugar. We reported a new record adjusted EBITDA for the quarter of $38.1 million, surpassing our previous record of $33.5 million. This is the result of favorable sugar market conditions combined with a persistent focus on execution and profitability in both of our Sugar and Maple business segments. Demand for sugar is healthy, and we continue to sign new agreements on terms that are consistent with the favorable market economics supporting better margins. We announced the conclusion of the strike of our Vancouver refinery and a new five year agreement with the public and private workers of Canada Local 8. That gives us more certainty on production capacity. We are pleased that the refinery is back to full production and serving our Western customers in the domestic and export markets. We made progress on our expansion project, which we refer to internally as LEAP. As a reminder, when completed, LEAP will add 100,000 metric tons to our sugar production capacity, while improving logistics and efficiency throughout our Eastern operations. Finally, as part of the financing plan for LEAP, we raised $112.5 million through concurrent public and private equity offerings. All these initiatives are evidence of our focus on executing and optimizing the business to produce consistent, profitable and sustainable growth over the long term by harnessing the very favorable market trends for sugar in Canada. So let me take a step back and give you some color on that market. Globally, the demand trend for manufactured food products is very healthy, driven by population growth and industrialization. North America is one of the largest sugar markets worldwide. Within North America, the two largest consuming countries, the United States and Mexico are in deficit. They consume more sugar than they produce within the country. That puts Canada in a great position to fill that gap in supply. Canada offers many benefits, including a favorable exchange rate, stable government and trade policy framework, reliable sugar production infrastructure, proximity to U.S. population sensors and favorable trade links. That is why customers benefit from locating their production facilities close to our operations, taking advantage of the favorable dynamics of the Canadian sugar industry. You can't have food processing without sugar. Sugar is a key functional ingredient in almost every manufactured food product. We've seen a number of food manufacturers announced plans to expand in Canada, as part of that long-term trend. So while we are focused on the domestic market, the reality is what drives that domestic market is food manufacturing exports to a very large and growing U.S. market. The macro trends in North American sugar demand are in our favor. The success we have enjoyed in the past few years has been the result of our efforts to take advantage of these global macro trends with a disciplined and sustainable approach. Our efforts are paying off, as evidenced by our record financial results in 2022, 2023, and the first half of 2024. Similarly, our Maple segment has some great attributes. Canada is the global leader with over 80% of worldwide maple syrup production. Maple syrup products are produced in Canada and enjoyed around the world, as a natural alternative sweetener. We are proud to be the largest branded and private label syrup bottling distribution company in the world. As you may have noticed, something has changed at Rogers Sugar, as evidenced by our recent successes at increasing profitability in both segments over the past couple of years. We have been working on a number of fronts over that time, and we have a plan to continue to drive consistent, profitable, sustainable growth in our operations going forward. We call this plan Rogers Refined, and we will be discussing more about Rogers Refined in the quarters ahead. For now, let me introduce you to the four pillars of our plan to drive value for investors under the Rogers Refined program. The first pillar is optimizing our production operations in sugar, including expanding and modernizing our facilities. A big contributor is the LEAP Project that will see us add capacity and efficiency in our Eastern operations. As of the end of the quarter, we are well through the demolition schedule at our Montreal site and setting up for the construction phase to begin this summer. This is consistent with where we expect it to be. This pillar is not just about investing in plant and equipment, it's also about ensuring that our labor agreements support our ambitions. The new five year agreement at the Vancouver refinery gives us much better visibility and predictability of production growth in the years to come. This includes a hiring of additional workers in that facility, which is already underway. The second pillar is driving profitability in our Maple segment. We are already seeing the benefits of our earlier optimization and efficiency initiatives in this segment, including investments in automation and processes, and we believe there's opportunity to do even more. Notably, the Maple crop was healthy this year, allowing us to meet our strong order book. This year's crop is also allowing producers to rebuild reserves that have been depleted by some weaker crops in the last few years. We are pleased with the contribution of both the Sugar and Maple segments to our record quarterly adjusted EBITDA. You will hear more about this from JS later in the call. The third pillar is maintaining a strong balance sheet, which includes balancing our different sources of funding prudently between equity and debt instruments. The fourth pillar is advancing our ESG program, which will make us a better company and a better investment. We recognize that our organizational impact reaches multiple stakeholder groups, including employees, debt and equity investors, customers, suppliers and members of the communities in which we operate. We are working to establish the key metrics that are relevant to each of those groups and to initiate regular reporting of our progress on those metrics. This year, we have implemented policies to address diversity and say-on-pay and have advanced our oversight of responsible sourcing. The outcome of our Rogers Refined plan will be consistent growth in adjusted EBITDA and free cash flow from operations. This allows us to fund our capital programs and growth ambitions, while maintaining the quality of our balance sheet and making regular distributions to shareholders. We believe that these four pillars will drive long-term investment value by focusing our resources in those key areas and emphasizing execution, we are ensuring that we have the right infrastructure and the right business model to take advantage of the supportive dynamics in our market and drive consistent, profitable, sustainable long-term growth. Now I'll turn the call over to JS.
Jean-Sébastien Couillard: Well, thank you, Mike. Consolidated revenues for the second quarter were just over $300 million, a 10% increase over the same period last year, including growth in both of our Sugar and Maple segments. Consolidated adjusted EBITDA for the second quarter was just over $38 million, an increase of over 50% over the same period last year, once again reflecting the favorable market conditions and the operational efficiencies we have been driving in both sites. For the first half of fiscal 2024, consolidated adjusted EBITDA of $69 million is more than $10 million higher than the same period last year. We believe it is worth noting that our strong financial results were achieved despite the unfavorable impact of the labor disruption at our Vancouver facility during the first two quarters of the year. We estimate that the full impact of the strike on adjusted EBITDA was approximately $5.5 million, of which $2.5 million was recorded in the second quarter. Consolidated adjusted net earnings were $19 million or $0.17 per share, as compared to $9 million or $0.09 per share for the same period last year. For the first half of fiscal 2024, adjusted net earnings were $31.5 million or $0.29 per share compared to $24.5 million or $0.23 per share in the first six months of 2023. Our strong financial performance has increased our free cash flow over the last 12 months by $5 million to $56.5 million. Our liquidity and cash generation continue to support our stable dividend distribution to our shareholders, which we are continuing this quarter with a dividend of $0.09 per share. Now let's look at the individual business segments, starting with our Sugar segment, which generated 87% of our adjusted EBITDA in the second quarter. Adjusted EBITDA for the Sugar segment at $33 million was approximately 50% higher than the same period last year, driven mainly by higher margins generated from our sugar refining activities and favorable product mix, partially offset by the lingering impact of the labor disruption at our Vancouver refinery. Revenues at $243 million for the second quarter increased by 13% over the comparable period, driven by higher market price for world Raw number 11 sugar and market-based price increases on sugar refining related activities. The increase in revenue was achieved despite lower sales volumes, mainly attributable to the labor disruption at our Vancouver refinery. We have estimated the overall impact of the strike on sales volume at approximately 23,500 metric tons, of which approximately 13,500 metric tons impacted the second quarter. Adjusted gross margin in the quarter was $45 million or $249 per metric ton, an increase of $74 per metric ton or approximately 40% from the same quarter last year. This is due to higher selling prices, partially offset by higher production costs arising from lower volumes for the reasons we touched on earlier. Administration and selling expenses were in line with the levels seen last year, while distribution costs increased slightly with the movement of sugar between facilities to support our western customers during the labor disruption. Now moving on to the Maple segment, where we posted strong financial results for the third consecutive quarter. Adjusted EBITDA for the Maple segment are just under $5 million as more than doubled compared to last year and reflects the operational changes we have implemented over the past year. Maple revenues of $58 million for the quarter were 2% higher than the same period last year due to improved average selling prices on recently negotiated agreements. Adjusted gross margin at approximately 11% was consistent with the last two quarters and well above last year's adjusted gross margin of approximately 7%, reflecting improved pricing and the savings realized on recently implemented continuous improvement and automation initiatives. As we mentioned earlier, we are quite busy investing in our sugar and maple plant to meet the current and future needs of our customers. We expect to spend about $27 million on normal capital expenditures in our Sugar and Maple segments during the year, of which about $10 million has already been spent over the first six months of 2024. This is in line with our capital spending level in regular operation from the last few years. In addition, as Mike mentioned, our LEAP Project is advancing as expected. Site preparation and permitting are currently in their final stages at the main construction site in Montreal and detailed planning is moving ahead for the Toronto portion of the project. Thus far, we have spent just over $30 million on the LEAP Project, of which $20 million was spent in fiscal 2024. At this time, we are still anticipating completion of the project in the first half of fiscal 2026. During the second quarter, we secured the equity portion of our LEAP Project financing plan with the issuance of common shares of Rogers Sugar through private and public concurrent offerings. The net proceeds related to the transaction amounted to $112.5 million from the issuance of approximately 23 million shares. We were pleased that the non-brokered portion of the offering was well oversubscribed. We are also pleased with the participation of Belkorp, a longtime shareholder and welcome the Fonds de solidarite des travailleurs du Quebec, a respected institutional investor, as a new shareholder of the company. With this financing and the support of the Quebec government through business loans totaling $65 million announced in August of last year, we have now secured the key components of the financing plan for our LEAP Project. We intend to fund the difference using a combination of cash from operations and our existing credit facilities. The equity portion of our financing plan is aligned with our strategy to present a strong balance sheet, which is one of the pillar of our Rogers Refining strategy. Over the next few months, we will review our options to address the upcoming maturities of our convertible debentures, including the maturity of the six series in December of 2024. With that, I will turn the call back over to Mike to provide a summary and an outlook for the balance of the year.
Mike Walton: Thank you, JS. Looking ahead, we are expecting another year of record financial results in fiscal 2024. As I stress often, we managed the business for consistent profitable growth, and to us, the key measure of that is adjusted EBITDA. Volume is an important input, but at the end of the day, what supports shareholder value is our focus on profitability. I'm pleased to say that the stability of our operations in both segments, the continued positive outlook of the Sugar segment for market demand and pricing point of view and a recovery of our Maple segment over the last few quarters should drive an increase in consolidated adjusted EBITDA in fiscal 2024 over fiscal 2023. This would mean our third straight record year for consolidated adjusted EBITDA. In the Sugar segment, we expect an increase in adjusted EBITDA for the full fiscal year with continued strong market demand in all segments and healthy margins that helped us mitigate the impact of inflationary pressures on production costs. While we continue to focus on cost containment in all of our operations, we expect a modest increase in administration and distribution costs for the balance of the year. This might also be a good time to talk about the impact of cocoa prices. We've all seen headlines about the impact of higher cocoa prices on chocolate production. So what does that mean for us at Rogers Sugar? There is no doubt that rising chocolate prices have crimped consumers' demand for chocolate and therefore, have affected sugar sales worldwide. Here at Rogers, we are also affected, but to a much lesser degree because our sugar economics still favor production in Canada. All of this is factored into our adjusted EBITDA expectations. In maple, we expect to continue to show benefit from the investments in automation and efficiencies that we have implemented in the past two years, as well as recently negotiated price increases. As a result, our current estimate is for continued growth in adjusted EBITDA in this segment for the year. The healthy crop of syrup this year will take some of the tightness out of the market, and we may see some competition on prices. As we look ahead, we will be disciplined and focused on profitability in maple, while maintaining our market share. As you can see, we got a lot done this quarter. It's been quite a journey. On behalf of the entire management team, I thank all our employees for coming with us on this journey. I also extend our appreciation to our customers and look forward to supporting them in their own journeys. Our operations are back to full production, and our focus on consistent, profitable, sustainable growth is driving significant improvements in revenues, margins and cash flow. We are benefiting from the work we are doing to harness the favorable market dynamics, and our Rogers Refined plan is setting us up to thrive in this environment for the years to come. I'll now ask the operator to take questions.
Operator: [Operator Instructions] Your first question comes from George Doumet, Scotiabank. Please go ahead.
Bahamin Abdolpanah: Hi. This is Bahamin on George's behalf. Congrats on a strong quarter. Can you talk a little bit about the sustainability of gross margin at sugar from this level, at least how much the mix impact changes going forward for the upcoming quarters? And also, has there been any impact like onetime boost from use of inventory during the strike or that was just pure inflation?
Jean-Sébastien Couillard: Hi. It's JS here. That's a good question. There is no real impact on the strike as far as from a gross margin perspective other than the fact that we did a bit less export. And so, export tends to have lower margin than our normal business. So there is a bit of an impact for us in this quarter from that regard. So when you were talking about mix, that's where the impacts come from. And so, if you look at our normal mix, I think we talked about the impact on our volume. We are talking about the impact of the - for the strike for this type of volume. And that would have been what's contributed to the higher margin in the second quarter slightly. But overall, our margin is actually higher than it was in previous years, and it's reflecting the good market conditions that we have in Canada for sugar, and which is also based on sugar economics favoring Canada right now.
Bahamin Abdolpanah: Thanks. Very helpful. And moving to the volumes, are we having any extra volume from Vancouver post the strike? And should we expect any catch-up for the next year? I know it's a bit early, but with the lost volume do we expect a growth over our initial volume outlook this year for the next year?
Mike Walton: Yes. It's Mike. Vancouver operations are back to what we call normal operations. And so, we're running the plant at the capacity that meets with our sales needs and with the supply that we've lined up for raw sugar deliveries for the short term. And as opportunities arise, we'll run over time weekends and extra shifts in Vancouver and use that additional capacity to supply growth in the market.
Bahamin Abdolpanah: Thank you. Very helpful.
Mike Walton: Thank you.
Operator: Your next question comes from Michael Van Aelst from TD Securities. Please go ahead.
Michael Van Aelst: Hi, good afternoon. Congratulations on a great quarter.
Mike Walton: Thanks Michael.
Michael Van Aelst: So on the Vancouver facility, I think you had your agreement on February 1st. How long did it take you to ramp it back up to full operations?
Mike Walton: We were back up to full operations in about three weeks, Michael. We had some things to do with the plants and with training - retraining and reentering people into the process safely. And so, we took our time, and it was about three weeks before we were back to full production.
Michael Van Aelst: Okay. And when you ramp up a refiner, a sugar refinery, is there typically challenges as you're bringing it back up? Or is it pretty smooth?
Mike Walton: Yes. That's a great observation. Unfortunately, if you recall, management ran the refinery on all the bulk and liquid side through the entire duration of the labor disruption. So our start-up niggles as our operations guy likes to call them, we're relatively minor.
Michael Van Aelst: Okay. On the gross margin, that's quite an impressive jump. I don't think I've covered you guys for 25 years or so, and I've never seen a number like that. So I know you said it reflects the good markets in Canada. But are you comfortable with the analysts and investors, assuming that this is somewhat sustainable at these levels for the back half of the year?
Jean-Sébastien Couillard: Well, I think the short of the answer is there's a bit of cyclical here. So we had a mix as I mentioned earlier, Mike, that reduction in a bit of export that favored us. There's no doubt that margin is higher. I'm not - I wouldn't say that this will be at the same level for the rest of the year, but it should not be that far off from what we've achieved in the second quarter, considering the recent agreement that we signed and considering what the market is - what the market is driving right now with demand. And once again, the sugar economics favoring Canada by 30% to 40%.
Michael Van Aelst: And when you - given the higher profitability, I mean, I know it's hard for new competitors to add capacity in Canada, although there are some that are in the process of doing so. But are you - is there any expectation that we might see more imports from some of the countries that can import into Canada?
Mike Walton: Yes. Michael, we're doing some imports as well, as you know, to have as contingent supply for our beef production that we've been doing for a year or two now. And so, we know the cost of imports. And if you follow the world market on sugar imports of white sugar is very expensive as well. So we're pretty comfortable with where the competitive nature and the landscape is on white sugar globally, and that's the market we compete in.
Michael Van Aelst: Okay. All right. So you're relatively comfortable with that Q2 run rate just adjusted for a little bit - little lower for mix.
Mike Walton: Yes. As JS said, Michael, as you can appreciate, we're sitting here now, most of the - most of our contracts are booked for the year. So our pricing would be done for this year, and we'd be working on the next.
Michael Van Aelst: And then on the maple side, is that the same thing, where most of your prices are reflected in this current level of margins?
Mike Walton: I wouldn't - maple is a little different animal because a lot of pricing holds up until the crop is delivered. So there would be - will be the typical mix we would be this time of the year with some bids still going on and some tenders going on, but nothing out of the normal, Michael. As we said, we'll remain competitive and try and manage profitability in maple, but always defending our market share.
Michael Van Aelst: Yes. It sounds like you're a little bit more cautious on the maple side versus sugar just because there is the ability of the competition to pick up their volumes, as well and get a little more aggressive. But have you seen any signs of that yet?
Mike Walton: Not of late. But maple always remains a competitive space, highly competitive, as you know, based on the nature of the product and the customers that buy it.
Michael Van Aelst: And just finally, the growth that we've seen so far in admin and general expenses, is that mainly tied to inflationary pressures and compensation?
Jean-Sébastien Couillard: Yes, absolutely. So some of it is - we have great results. So some of it is tied to some of the compensation estimates that we have, but also inflation has had an impact for us on some of our external costs.
Michael Van Aelst: Yes, great. Thank you very much.
Jean-Sébastien Couillard: Thanks Michael.
Operator: Your next question comes from Stephen MacLeod from BMO Capital Markets. Please go ahead.
Stephen MacLeod: Thank you. Good evening, guys. I just wanted to follow up on the sugar margins because certainly, I haven't covered this stock as long as Michael has, but I covered a long time and haven't seen margins like that before. So just curious, if you can give a little bit of color, as to - like I understand that maybe when you look into the next quarter, you should see margins sort of in and around that level. Like is there something that has shifted like in the business to allow that level of margin to continue into the next fiscal year and even in future fiscal years beyond that?
Mike Walton: Yes. Stephen, if you recall some of the commentary, I made earlier around this program we call Rogers Refined, where if you look back in the last three years, we've really brought a focus to the business on driving consistent profitable growth, that's sustainable to the business. And so, we've done a lot of planning and a lot of hard work across the both segments of the business to get us into this position, which we've been toiling away quietly in the background quarter-by-quarter building strength, and we're starting to see the fruits of those labors. So this is done with intention and with the plans for resetting the business in the future.
Stephen MacLeod: Okay. Great. And then I may have missed it and if I did, I apologize, but is there any change to the timing of your refining capacity expansion project? Or is that still on track?
Mike Walton: Yes. Stephen, that the LEAP Project, as we like to call the Montreal and Eastern Canada expansion is on track, as we discussed previously. It's on target for calendar Q1 2026.
Stephen MacLeod: Okay, that's great. Well, thanks, guys. Appreciate it.
Mike Walton: Thanks Stephen.
Operator: Your next question comes from Zachary Evershed from National Bank Financial. Please go ahead.
Zachary Evershed: Yes. Most of my questions have been answered. So thank you very much and congrats on a strong quarter. I was wondering if you go into a bit more detail on the impact of equipment delays. You guys are still on track for early 2026. But is there still a portion that's at risk if we see that kind of delayed creeping again if there's another disruption to supply chain?
Mike Walton: Hi, Zachary. That's a great question, given everything going on in our world with supply chains and the potential national rail strike. But most of our big, long lead equipment have been ordered some over a year ago and some many months ago. So right now, we see no delays to the project caused by equipment deliveries.
Zachary Evershed: Thank you very much. That's it for me.
Mike Walton: Thanks Zachary.
Operator: There are no further questions. I will now turn the call over to Mike.
Mike Walton: Thank you, everyone. Please be reminded that today's call may include forward-looking statements regarding our future operations and expectations. Such statements involve known and unknown risks and uncertainties that may cause actual results to differ materially from those expressed or implied today. Please also note that we may refer to some non-IFRS measures in our call. Please refer to the forward-looking disclaimers and non-IFRS measure definitions included in our public filings with the Securities Commission for more information on these items. A replay of this call will be available later today. The replay numbers and passcodes have been provided in our press release, and an archived recording of this call will also be available on our website. Thank you for attending our call today, and we'll see you next quarter.
Operator: Ladies and gentlemen, this concludes the call for today. Thank you for calling in. Please go ahead and disconnect your lines.